Operator: Good afternoon, ladies and gentlemen and welcome to the Linamar Q1 2023 Earnings Call. At this time all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, May 10, 2023. I would now like to turn the conference over to Linda Hasenfratz. Please go ahead.
Linda Hasenfratz: Thanks so much. Good afternoon, everyone and welcome to our first quarter conference call. Joining me this afternoon our member of my executive team, Jim Jarrell, Dale Schneider, Roger Fulton, Mark Stoddart and members of our corporate IR, marketing, finance and legal teams. Before I begin, I'll draw your attention to the disclaimer that is currently being broadcast. I'll start off with a review of sales earnings and content. Sales for the quarter were $2.3 billion, up 29% to last year on recovering markets and supply chains, as well as market share growth. Normalized net earnings for the quarter were 121.7 million and EPS was $1.98. EPS is up at 83% over last year on stronger sales and launching business. Our industrial segment had an excellent quarter, with sales nearly significantly up at both MacDon and Skyjack on stronger markets and market share growth. And easing of supply chain issues helps our teams get the product out the door. Our Salford acquisition also played an important role in both sales and earnings growth. Pricing increases helped offset the higher costs at this segment has been experiencing. The mobility business had a strong quarter on the top line, thanks to recovery markets in North America and Europe and strong launch performance. A slowdown in China related to COVID outbreaks had a big impact on both sales and earnings for the quarter. Our Mills River foundry continues to weigh on mobility segment earnings now that we own the business fully and are recording results at the OE level versus it being below the line. Notably cost improvement plans are proceeding well at Mills River and we are seeing improvement every quarter. Higher costs continue to drag on results as well, notably energy costs in Europe. Although customer pricing relief is helping to offset part of the costs. On the positive side, we do expect to see an improvement in the mobility segment earnings in Q2 of this year compared to Q1 of this year as China starts to recover. Europe grows on launching business energy costs started start to improve, and Mills River, of course, continue to improve as well. It's great to see the trend upwards in terms of net earning margins that we've been seeing since the low point back in Q4 of 2021. This quarter has been an excellent example of Linamar diversification strategy paying dividends. Having a diverse business with investments in more than one market means market cycles that often do not overlap. When the mobility market is down often industrials are up and when the industrial market is down, often mobility is up. This is exactly how we have been able to generate consistent sustainable earnings growth and free cash flow for our shareholders year after year after year. Since 2010, we have delivered 10 years of normalized net earnings growth with three years of contraction peppered in there completely due to COVID. Our compound annual growth rate since 2010 has been 14%. We will be delivering double-digit earnings growth this year and next year, that will take our track record to 80% of 15 years delivering earnings growth to our shareholders. That is what consistent sustainable growth is. And that is what a diverse strategy brings you. We saw another quarter of solid increase in content per vehicle in North America again hitting a new record level. Launches are a big part of that, as well as our Mills River acquisition and vehicles we have high content on being selectively prioritized for build -- our customers. Commercial and industrial sales were up 53% with solid growth at both Skyjack and MacDon on market growth and market share growth in keep products. Salford also played a key role in growing sales in this area. CapEx has trended back up to a normal level supporting global launches and growth as expected. CapEx as a percent of sales was 7.1%. exactly in line with a level of spending of 6% to 8% that will support targeted double-digit growth. We do expect CapEx to be significantly up this year over last year and at the high end of our normal range. Next year, CapEx will grow somewhat again but still staying in our 6% to 8% range, basically keeping pace with sales growth. We have a long history at Linamar at investing in new leading edge proven technologies to drive efficiency and top and bottom-line growth. Return for this investment consistently close in within two to three years of the investment. Investments have picked up in the last 18 months as we work to launch a significant backlog of business driven by record levels of new business wins over the last couple of years. Earnings Growth will be a result of that investment. We expect double-digit earnings growth this year and next year, capital asset turnover will grow this year and next year, return on assets will grow this year and next year, return on capital employed will grow this year and next year, return on equity will grow this year and next year. Securing new business and then making prudent capital investments to support those launches is what drives growth and returns and is the sign of a healthy and growing business. Free cash flow was 19.4 million in the quarter on strong earnings despite heavier CapEx. We have $1.3 billion of liquidity available to us, which is also excellent. Our net debt position has remained strong at just 475 million, thanks to continued positive free cash flow. Leverage remains very strong at just 0.43x net debt to EBITDA. Our strong balance sheet and liquidity means we have the ability to continue to pursue acquisition opportunities as they arise in a dynamic market and drive even more growth. Let's turn to a quick update on some of the headwinds that we are facing at the moment around supply chain issues, energy costs, logistics costs and labor shortages. You can see overall an increasingly positive scorecard with every area of challenge now seeing at least some improvement. Energy prices are normalizing in Europe and contracts are slowly following in line with that. Supply chain shortages are starting to improve and creating less disruption to our and our customer production scheduled. Commodity prices have come off of high seen over the last 18 months. We're starting to see a little more availability in labor markets with recent job fairs back to historic levels of attendance in some areas. Chip availability is more consistent, although not yet added capacity to fill all automotive demands. Much of the capacity installed over the last year were not the known sizes used by automotive. It'll be another year to year and a half until sufficient automotive size chip capacity is available. And good news also on the freight front with Asia to pre-COVID levels and Europe trending back down as well. We aren't yet fully back to normal levels, but we're making good progress. So overall, a reasonably positive scorecard on the challenge side. I'll turn now to our market outlook. Market demand is continuing to look good, with growth in most regions and businesses expected this year and next year. Supply chain issues do continue to constrain industry's ability to deliver on that demand, but it does feel a little less volatile than last year. Turning to the specific markets, industry experts are predicting growing light vehicle volumes globally this year to 15 million, 16.9 million and 48.2 million vehicles in North America, Europe and Asia respectively. This represents 5%, 7% and 2% growth. 2024 will see further growth of 2.5% to 3.5% in each region. Industry experts are predicting on highway medium heavy truck volumes to be flat in North America and Europe this year, but often Asia after a tough couple of years. Next year we're going to see moderate growth in North America and Europe of up to 5% and again stronger growth in Asia. Industry experts are predicting double-digit growth in the access market globally this year with North America and Europe expecting high single digit and Asia low double digit. Next year, we'll see further growth of another 5% to 10%. Lastly, the agricultural industry is predicting growth in the combined draper header market this year in mid-single digits in North America, but reasonably flat in other parts of the world. The windrower market will also see single-digit growth globally this year but driving this time more out of Europe and Australia. There's a positive outlook for market loyalty in both tillage and crop nutrition equipment this year as well, with similar mid-single digit growth expected in North America. Looking at the access market in more detail, you can see first strong double-digit growth in both North America and Asia with more moderate growth in Europe in the first quarter of the year. All three regions are expecting solid growth this year and more moderate growth in 2024, as I have already mentioned. Record company demand for equipment is strong as companies look to counter fleet aging experienced during COVID. Equipment utilization in North America is ahead of 2022 in the first four months of the year, utilization levels in Europe are well above 2022 levels. Our backlog at Skyjack is at a record level in dollars and up from last year, thanks to continued solid market demand. Delivery of orders continues to be impacted by supply chain challenges. However, as we work through these issues, we feel confident we can again grow Skyjack in double digits this year and next year. We are of course keeping a close eye on potentially shifting market conditions in the event of an economic slowdown. In the agricultural business, Q1 combined retails in North America were up a huge 117% over prior year and high horsepower tractors were up 11%. The order book up significantly over last year for MacDon and supply chain issue is still a challenge are improving and helping the team get product out the door. As noted, we expect to see market growth primarily in North America for combined headers this year. Our current forecast is for double-digit growth this year again for MacDon, and the same for 2024. Salford is seeing a strong backlog in all products well up over prior year as well, in conjunction with market growth reference also mainly in North America. Salford is also predicting double-digit growth in 2023 and 2024. Looking at the mobility side, you can see vehicle inventory levels in North America have settled in around 36 or 37 days over the past few months but are still well below historic levels. Refilling the pipeline with vehicles will still be a major priority for the automakers and will of course take some time to get done. And looking at production levels compared to what was forecast at our last conference call back in March. You can see a slightly stronger Q1 in both Europe and Asia. Q1 ended at 21.1 million vehicles, up 6% from last year at 19.9 million. Q2 is forecast to be a lot stronger than Q2 of last year at 21.5 million, which is a 13% increase from prior year. The full year as noted, is predicting overall growth at 4% over 2022. Looking at launches for the mobility business, you'll be pleased to know that we had another strong quarter and new business plans and once again, a very strong quarter for wins in the electrified and propulsion agnostic space. Electrified vehicles continued to provide great opportunities for us and are really dramatically shifting the landscape of our mobility business. We had a really solid start to the year in terms of new business plans for battery electric vehicles, hybrid electric vehicles and propulsion agnostic components year-to-date wins as such are nearly 80%. The majority of our mobility sales as soon as 2027 are now for electrified vehicles or our propulsion agnostic. Our strategy is to continue to grow this percentage to minimize the concentration of our business at risk as internal combustion vehicles ramp down over the next decade. Overall, our launch book has grown now to nearly $4.2 billion. We are seeing ramping volumes on launching programs which are predicted to reach 35% to 45% of maturity levels this year, generating incremental sales of $750 million to $850 million. We'll see further growth of another incremental $800 million to $900 million next year. These programs are going to peak as I just noted at 4.2 billion in sales. We saw a small shift of about $25 million of programs moving from launch to production last quarter, which was more than offset by the business wins that we saw. Launching business in conjunction with growing markets will result in double-digit sales growth for the mobility segment this year and next year. So let's turn to a summary of that top line outlet and then look at the bottom-line margins and next quarter in a little more detail. So with strong markets and market share growth, we are expecting to see double-digit growth on the top line in both 2023 and 2024 for Linamar overall, that's driving from double-digit growth at each of skyjack, all right, for cultural businesses and our mobility business. Net margins will expand and 2023 on growing sales and significant growth in margins in the industrial segment, where margins are going to expand back into their normal range. Mobility margins will modestly contract for the year with stronger margins expected in the back half than the first half of the year. This will mean growth in mobility segment earnings this year, and significant double-digit growth in industrial segment earnings driving significant double-digit growth in EPS in 2023. In 2024, we expect continued expansion in margins back into our normal range overall driving out of the expansion in margins that we're expecting in both segments. This will mean double-digit growth in earnings in both segments next year, and another year of double-digit EPS growth in 2024. We will also see strong positive free cash flow this year and next year, leaving us in an excellent position from which to drive further growth. Looking specifically at Q2, you should expect sales modestly up from Q1 of this year, but meaningful double-digit growth from last year. The mobility segment will see sales modestly up from Q1 of this year, but well up from prior year. Normalized OEE will be up in double digits from Q1 of this year but will not reach last year’s levels like Q2 last year. Sequential growth will happen as China's start to recover, as Europe growth on launching business and energy costs starting to improve and Mills River continues to improve. The industrial segment will see double-digit sales growth seasonally up from Q1 of this year. And with more significant growth from last year, we will see double-digit normalized OE growth meaningfully up from Q1 of this year and more significant growth in comparison to last year. As a result, on the overall earnings side in Q2, you can expect meaningful double-digit EPS growth to Q1 of this year and more even more significant EPS growth in comparison to Q2 2022. Moving on to an operational update, I'm very excited to announce the launch of our brands new structural component manufacturing facility for Linamar in Welland, Ontario. This facility will be a flagship location for our rapidly growing structural casting business and a showcase for the very latest and high pressure die casting technology. The facility will have state-of-the-art Giga casting equipment capable of producing very large structural parts critical to efficiently lightweighting and simplifying complex assemblies for electrified vehicles. Giga casting refers to very large 5000 or 6000 plus time high pressure diecast machine, this equipment is leading edge in fact, Linamar will be the first supplier in all of North America or Europe to invest in this type of technology. We will be installing three 6100-ton presses, with the first press expected to be installed in January of next year and production on our first contract starting about a year after that. Construction on the facility will be starting immediately. There's an increasing trend of cast aluminum being used in vehicle architectures, particularly battery electric vehicles. Structural aluminum castings offer an alternative to traditional steel stamping and weldments creating a less complex and more lightweight solution for OEM. This is particularly important in a battery electric vehicle due to the inefficiencies created by the extremely heavy and bulky battery pack. We're seeing significant interest from our customers and Linamar bringing this capability to the market. As mentioned to-date, this size tonnage from a part supplier only exists in Asia and shipping from Asia for parts this size is just not going to happen. We're excited about this new investment; the market leadership it provides Linamar and the opportunities it will bring us in the vehicles of the future. Moving on to new business wins on the mobility side, I'll highlight a few of our more interesting wins this quarter. First, I want to highlight over $110 million in structural component wins for battery electric vehicles adding to our growing portfolio of propulsion agnostic structural components. Production of these components will start next year in both Spain and the United States. Secondly, we had a significant win for a battery enclosure that will be used in a new plug-in hybrid pickup truck launching in 2024 with an annual volume of around 46000 units. These parts will be produced at one of our locations in France. Lastly, I would like to highlight an additional $111 million for various components that will be used in both battery electric and hybrid electric vehicle. We will start producing these later this year at various facilities in North America, Europe and Asia. Turning to an innovation update, I'll highlight our new full battery electric vehicle Demonstrator Truck that we announced last week. This was a major R&D effort that our eLIN team has been working on to build a vehicle that our customers can test drive showcasing Linamar electric propulsion technologies. The pickup truck is a current generation 2500 series truck, which was retrofitted with two of our utility duty Beam eAxle. This Demonstrator vehicle showcases how Linamar's electrified propulsion capabilities are available not only in pascar sizes and medium duty applications, but also in large utility duty four-wheel drive pickup truck applications. Our engineering and sales teams will be visiting the advanced purchasing and engineering departments of our customers so they can personally test drive it to get a firsthand feel for the performance and handling. The Demonstrator Truck was on display last week at the advanced clean transportation Expo along with several other latest EV technology offerings from Linamar. As mentioned, we exhibited our utility duty Beam Axle. We also showcased our medium duty Beam eAxle, our eMatrix, battery pack solutions, our FlexForm hydrogen fuel cell storage tank, and of course our structural component capabilities. We had a lot of traffic in the booth, they were attracted by our excellent technologies, and they stayed to learn all about them. As we said before, this is an incredibly exciting time in our industry. A technology transition in the market of this magnitude creates significant opportunities for innovative companies like Linamar. We're well positioned to win significant content in electrified vehicles as this transition plays out. Finally, we continue to execute on our global digitization journey with more and more connected machines, data connections and robots being commissioned in our global plants every day. With that, I'm going to turn it over to our CFO, Dale Schneider, to lead us through a more in-depth, financial review. Over to you, Dale.
Dale Schneider: Thank you, Linda and good afternoon, everyone. As Linda noted, Q1 was a great quarter for sales and earnings growth despite continuation in the supply chain issues impacting sales and other costs, issues further impacting earnings net of any customer recovery we received in the quarter. Q1 was another positive quarter for cash generation and as a result, we were able to maintain a strong level of liquidity at 1.3 billion. For the quarter, sales increased 28.9% to 2.3 billion. Earnings are normalized for any FX gains or losses related to the revaluation of the balance sheet and potentially other items that may have occurred. In the quarter earnings were normalized for FX gains related the revaluation of the balance sheet, which impacts EPS by $0.07 per share. Earnings are further normalized for net loss recognizing the quarter as we adjusted the accrual for the earnout related to the acquisition of our Mills River facility, as a result of the improvement in the outlook since Q4 of 2022, removing this net loss impacted EPS by $0.06 per share. Net earnings are further normalized in Q1 as a result of a net withholding taxes paid in the quarter due to the repatriation of cash from our Chinese operations. Removing this net loss impacted EPS by $0.09 per share. The total of these three issues impacted EPS by $0.08 per share, and as a result, normalized EPS for the quarter was $1.98. Normalized operating earnings for the quarter were 175.8 million. This compares to 106.5 million in Q1 last year, an increase of 69.3 million or 65.1%. Normalized net earnings increased 50.8 million or 71.7% in the quarter to 121.7 million. Fully diluted normalized EPS increased by $0.90 or 83% to $1.98. Included in earnings for the quarter was the foreign exchange gain of 5.8 million as a result of a $6 million gain related to the revaluation of the operating balances and a $200,000 loss related to the revaluation of financing balances. As I mentioned, the net FX gain impacted the quarter's EPS by $0.07. From a business segment perspective, the Q1 FX gain of $6 million related to the revaluation of operating balances was the result of the $7.4 million gain in industrial, and a $1.4 million loss in mobility. Further looking at the segments, industrial sales increased by 58.9%, or 216.8 million to 585 million in the quarter. The sales increase for the quarter was primarily due to the higher agricultural sales driven by growth in both the global markets and our global market shares for our products. Additionally, as a result of the acquisition of Salford last year, the higher access equipment sales, driven by the growth also in the global markets and our market share growth for certain products in various markets. Higher sales prices also achieved in the quarter had to release some of our current supply chain cost pressures, and then the positive impact of changes in FX rates from last year. Normalized industrial operating earnings in Q1 was at 84.1 million, was an increase in 84.1 million over last year to 97.5 million, primary drivers impacting the earnings were the increased contribution from the strong agricultural equipment volumes, increased contribution from the higher access equipment sales. The increased margins from the acquisition of Salford and the positive impact from the changes in FX rates since last year. These were partially offset by increased SG&A cost that are supporting growth in the segment. Turning to Mobility. Sales increased by 297.8 million or 21.1% over Q1 last year to 1.7 billion. The sales increase in the first quarter was driven by the increased volumes on both launching and certain other high demand programs. Cost recoveries received in the quarter from our customers, the positive impacts and changes in FX rates since last year, and sales impacted fully consolidated Mills River and now that we have 100% ownership of it. These are partially offset by the ongoing COVID-19 issues in China that has negatively impacting our OEM production. Q1 normalized earnings for mobility were down over last year at 78.3 million. In the quarter mobility earnings were impacted by the increased contribution on the higher launch in certain programs volume. The positive impacts and changes in FX rates since last year. These were more than offset though by the reduced contribution related to lower OEM volumes in China. The impact of consolidating our Mills River facility, the increased labor in utility, materials and freight costs, net recovery and the increased SG&A costs also supported the growth in the segment. Returning to the overall Linamar results, the company’s gross margin was 300.5 million, an increase of 102.3 million compared to last year. And this was due to the same factors that drove the segments. COGS amortization expense for the first quarter increased slightly to 115.4 million compared to Q1 last year. COGS amortization as a percent of sales decreased 5% of sales. SG&A costs increased in the quarter to 124.7 million from 91.7 million last year. The increase is primarily the result of the incremental SG&A costs from the acquisition of Salford in our Mills River facility. The increased management sales cost supporting the growth of both segments and the increased travel costs also supporting the growth. Financing expenses increased by 12.7 million since last year, mainly due to the additional interest as a result of the Bank of Canada and U.S. federal rate hikes that have happened and also due to the increased debt from the acquisitions past year and the share buybacks from last year. The consolidated effective interest rate for Q1 increased to 3.9%. Effective tax rates for the first quarter increased to 28.5% compared to last year, due to an increase in non-deductible expenses compared to last year. The net withholding tax on the repatriation of funds and the unfavorable mix in foreign tax rates. These are partially offset by an increase in tax expense now the Mills River is fully owned. We are expecting the 2023 full year tax rate, excluding the net withholding tax issued in Q1 to be in the range of 24% to 26% and higher than the full year 2022 rate. For Q1, the effective tax rate would have been 24.3%, if the repatriation of cash from a Chinese operations did not occur. Linamar's cash position was 890.7 million on March 31, an increase of 30.2 million compared to December 2022. The first quarter generated 181.7 million of cash from operating activities, which is used primarily to fund CapEx. As a result, the net debt to EBITDA increased to 0.43x in the quarter from a year ago, mainly due to the acquisitions and share buybacks from last year. Based on our current estimates, we are expecting 2023 to maintain our strong balance sheet and leverage is expected to remain low. The amount of available credit in our credit facilities is 425 million at the end of the quarter. Our available liquidity at the end of Q1 remains strong at 1.3 billion and as a result, we currently believe we have sufficient liquidity to satisfy our financial obligations during 2023. To recap, sales and earnings for the quarter was a story of improving markets, increasing market share in both segments. The supply shortages that have been hampering OEM production required to continue to see improvements and adding additional sales in the segments. The supply-related costs impacts the earnings in both segments, and Linamar has continued its discussions with the customers to seek price increases and cost recoveries. Despite these challenges in the quarter, we still maintain a strong level of liquidity of 1.3 billion. That concludes my commentary, and now like to open up for questions.
Operator: Thank you, ladies and gentlemen, we will now conduct the question-and-answer session. [Operator Instructions] And your first question comes from Michael Glen from Raymond James. Michael, please go ahead.
Michael Glen: Maybe just to start, I just want to make sure I fully understand the margin outlook for the mobility segment. So should we view then 1Q margin, and I'm thinking of this on a percentage basis, it is a bit of an interim trough, and we're going to continue to move higher from these levels, then.
Linda Hasenfratz: Yes, that's correct.
Michael Glen: Okay. And then you still work with that longer term, 7% to 10% margin for the mobility segment. Do you think given the business mix and where your launch book is? Is there a timeframe? Do you still think that that's a realistic target? Like, can you get back there? I'm just trying to understand that the higher end of that range, in particular.
Linda Hasenfratz: Yes. I mean, we think that it's still a reasonable range, and we should be back there within the next three years.
Michael Glen: Okay. And then, if I'm thinking of that launch book, the $4.2 billion launch book, how would you characterize the breakdown of that launch book between larger, more well-established OEMs and then smaller startups or are newer entrants?
Jim Jarrell: I would say your split is 75%, 80% would be traditional and then 15%, 20%, 25% newer startup companies.
Michael Glen: Okay. And then just my final question. I know that one of the feedbacks that was given coming out of the Q4, you had a lot of questions surrounding your normal course issuer bid, any updated thought process around and what you might do there?
Linda Hasenfratz: Yes. I mean, of course, it's always on the table, that as we noted back after the first quarter, we have quite a heavy CapEx year this year. So I think a prudent approach is appropriate at this juncture. But we do look at the possibility of either a dividend increase or an NCIB every quarter with our Board and of course, we will continue to revisit that.
Operator: Your next question comes from Peter Sklar from BMO Capital Markets. Peter, please go ahead.
Peter Sklar: On the mobility segment, in your guidance, like the full year guidance in terms of the margin went from flat to modest contraction. So I'm just wondering, like what's gotten a little bit worse in terms of headwind since you reported Q4, or is it just Q1 came in a little bit weaker? So when you average it all out, the margin is going to be down slightly?
Linda Hasenfratz: Yes. That's exactly it, Peter, Q1, just a little bit weaker on those weak Asia volumes was even a little more than we thought it would be. So margins are therefore a little bit weaker, but notably, earnings still growing in the mobility segment, thanks to top line growth.
Peter Sklar: Okay. Next is on the industrial segment, you gave some guidance or how it's going to follow in Q2 in terms of revenue and earnings. So it sounds like it's going to be really strong, like even stronger. You're guiding for even stronger than Q1, which was just a stunningly profitable quarter. How do you think Q3 and Q4 are going to play out? Because normally, like, from a seasonal perspective, they're weaker than the first two quarters and Q4 is weaker than Q3, but it sounds like you can sell anything you can build. And so how do you think those quarters are going to fall out?
Linda Hasenfratz: Yes. I mean, you're right, the seasonal norm is slowing down in Q3 and Q4, somewhat from Q2. Q2 is normally the strongest quarter. And I think that's still a good expectation, because the seasonality is also to some extent, related to shutdowns. And that kind of disruption to the business in the summer and again, at Christmas time. So it's not just all about demand. But you're absolutely right. I mean demand compared with the backlog that we have in place, thanks to demand, we've got a really good line of sight for the rest of the year, in terms of where we're going on sales.
Jim Jarrell: Yes. I mean, just the backlog, I think here, Linda mentioned, the backlog is like, the best we've ever had, right? And so, to me, key things that could restrain and things changed in the summer timeframe. And secondly, supply chain issues are leaving, but they're still there, right? They're still persistent. So that sort of challenges some of those outputs as well, later in the year.
Peter Sklar: Yes. Like this level of earnings, you're generating an industrial segment. Like, were you surprised by that? Or was this in line with your plan?
Linda Hasenfratz: Maybe it was in line with the plan, although, obviously, supply chain issues have been hard to predict. So, it's good to see things improved a little bit in the first quarter. And that was quite helpful, obviously, at being able to get the product out the door.
Jim Jarrell: Yes. Mix always plays a big role in this business too, right? If you're comparing the different product lines in both the ag, or the infrastructure side that, if you are getting pulled on one product it might be more beneficial, right? So that plays out as well, too.
Linda Hasenfratz: And the margin levels, right, in our target zone, right. So, this is a level of margin that we've seen before.
Peter Sklar: Right. Okay. And then, lastly, I just wanted to ask you about this new Welland, diecast plant that you're doing which sounds like it's a big -- this is going to be a big project for you. Like, as you know, to ramp up aluminum diecast facilities is very lengthy and can often be very problematic. And I know you have some experience ramping Mills River. But it sounds like these new like very heavy tonnage. diecast machines are putting in like they've only been done in China, I think, is what you're saying, they've never been done in Europe or North America. And so are you a little bit concerned that because these things -- these diecast plants are very tricky to ramp up. And just wondering how you're going to -- what's your thinking about managing this?
Linda Hasenfratz: Yes. Peter, we're the first supplier to install this equipment in North America and Europe. We are not the first company. So some of our OEM customers, automakers themselves, have installed capacity in North America and in Europe. So this is not brand-new technology for these regions. But it is new technology for the supply base, which I think is notable in terms of the market leadership that it offers. I think that any new facility, particularly as you've pointed out, a casting facility, is going to go through a few years of a ramp-up launch phase and this facility is not going to be any different. I also think that we learned a lot from Mills River, and that's going to be really helpful in terms of establishing this plant. And as I say, there's that great talent around in North America that has experienced that launching this type of equipment, which obviously, we'll be tapping into.
Jim Jarrell: Yes. So Peter, we've talked about this for about an hour, which we're really excited to do. But this really falls really good into the strategy of our structural parts and growth. And when you think about what this does, with the customer side, for saving the complexity of parts, weight, and all these things, it's really a massive thing. As Linda said, with Mills River, you go back, we were the sort of the North American partner, and not really the casting side of this. So I think we have a strong understanding of what went wrong, what went right down there, which we will apply. Our resources have been resourced up. We've hired in people that have been working on Giga castings in the world. We're working in partnership with the press manufacturer, also with tool manufacturers and the customer, ultimately, that we are connected with. So we feel really positive about this entrance because we think we've covered all the [indiscernible] you're right. There's going to be certainly some challenges underway, right? So, the other thing that we've started to get ahead of this is we're putting one of the presses on the floor in our [Loganville] [ph] structural engineering company over in France, obviously, and we're going to develop there first, we're going to learn from that, and then apply that same tool that's coming over here, which is like 400 coolant lines, just to be giving some specifics here. So we really think we're doing this right.
Dale Schneider: Peter, that first press in [indiscernible] will be delivered at the end of the month.
Peter Sklar: Okay. And then, just lastly, like your guidance for CapEx this year, suggest CapEx is going to be an elevated level around 700 million is a big part of that increase this Welland facility.
Linda Hasenfratz: It didn't increase our outlook on CapEx is actually identical to the outlet that we had last quarter, our guidance hasn't changed at all. We already had the Welland plant in our planning at that time. But to answer that, a chunk of that of that CapEx for this year, absolutely, it is a big chunk of it.
Operator: Your next question comes from Krista Friesen from CIBC Capital Markets. Krista, please go ahead.
Krista Friesen: Hi, thanks for taking my question and congrats on a good quarter. Could you just provide us with a little bit more color around what's going on in China right now? And have you seen sequential improvement as we entered Q2?
Linda Hasenfratz: Yes. I mean, for sure, we felt a pretty significant impact in the first quarter. And we are starting to see the markets pick up a little bit as we come into Q2.
Jim Jarrell: Yes. I think again, first quarter there was roaming downtimes. I mean, in fact, I think we had four-day weeks mark, right? Like it was four-day weeks, from what our President was telling us about Asia today on that. So a lot of issues circulating. And it is starting to come back in sort of Q2. It won't be fully back to the levels but then again, Q3, Q4, getting better, right? So it's Q1, I think was obviously the worst, and then we'll see a better moderate comeback through them the rest of the year. So we got to watch and see, but that's sort of the outlook right now.
Krista Friesen: Thanks. And then, we've seen one OEM earlier this year idle their facilities just to keep inventory relatively tight. Are you hearing that on a consistent basis? Are you hearing that from any other OEM at this point?
Jim Jarrell: No. I mean, it's sort of sporadic. I mean, we've seen some release cuts on different programs vehicle architectures. But that sort of as we go, but no other flatline facility that we've seen or forecasting at this point.
Dale Schneider: No. I think that OEM was playing a little bit of the game, because we've seen other OEMs increase their production to compensate for it to take market share.
Jim Jarrell: I was just going to say, yes, there's still several dealing with supply chain issues, too, right? So that also has some impact to a lesser extent, but there is impact it does come on and we have got to level set everything to sort of get everyone on the same alignment.
Krista Friesen: Okay, great. And then just on the industrial side of business, amazing quarter. Was the strength equal between ag and Skyjack? Or was there one that was really kind of leading the charge there?
Linda Hasenfratz: Yes. We saw great growth out of both the agricultural business and Skyjack. And don't forget, the ag business is -- growth that mapped on that also new sales and earnings coming from Salford so that's a third factor in there.
Krista Friesen: Great. Thank you. Congrats on a good quarter. And I'll jump back in the queue.
Operator: Your next question comes from Brian Morrison from TD Securities. Brian, please go ahead.
Brian Morrison: Thanks very much. Many of my questions have been asked. But if I can follow up on that is the margin profile within ag, it's still exceeding that of the Skyjack.
Linda Hasenfratz: Yes.
Brian Morrison: Okay, great. And I understand it's going to mobility. I understand the cadence of the operating margin improved throughout the year. If I can just nitpick on Q1, the decline in the operating margin, can you just maybe rank like in terms of Asian volumes and inflation launch costs in Mills River? What was the biggest impact of that decline?
Linda Hasenfratz: Yes. I mean, for sure, Asia was a big part of that, like the reduction in sales and earnings out of out of Asia. Mills River was significant, unrecovered cost increases, we got pricing relief, that not enough to cover the cost increases. So that would also be a key element.
Brian Morrison: Okay. So energy in Europe has come down quite substantially over the past x number of months. I'm wondering going forward, do you have hedges in place? Or is this a tailwind to you? And is that baked into your forecast?
Linda Hasenfratz: Yes. I mean, we obviously as the prices have come down on the spot market, that has been helpful to some plants that had -- that are running right off the spot, others had contracts in place that will catch up in terms of the energy cost improvement as those contracts fall off and new ones can get put in place. So watching the commodity only is impactful for any plants that aren't on longer term contracts or hedges. So that's why we're playing a little bit of catch up. So we still saw some higher costs in the first quarter, but that should improve.
Jim Jarrell: Yes. And Brian, the other side, on the commercial side with the customers, we're all trying to just pass these costs along. So the best way is to have mechanisms set up with customers on some of these commodities, of course, and also energy, right? So that still in works with customers. And some acceptance is there, some is not. So you got to sort of work that through too, as we tick those off and get away to resolve that mean, both ways, right? If it goes up, we get covered. If it goes down, they get covered, right. So we just want to try and mitigate some of those in a fair fashion with our customers.
Brian Morrison: Okay. Thanks very much. And you certainly illustrated the benefit of diversification there. Congratulations.
Operator: [Operator Instructions] And we have a follow up question from Michael Glen from Raymond James. Michael, please go ahead.
Michael Glen: I'm just wondering if you can comment on your balance sheet inventory levels with respect to Skyjack, as we go through the rest of the year, should we think about those inventory levels coming down from the Skyjack side?
Dale Schneider: Yes. Mainly on the inventory issues not just at Skyjack but in the ag side is because of supply chain issues. So we are carrying extra inventory to make sure we don't run out of parts. But we're also building inventory to get ready for the peak selling season. So, yes, I would expect that inventory levels will come down in the second half.
Michael Glen: Are you able to indicate like a dollar 1 figure anything like what that excess inventory number might be right now.
Linda Hasenfratz: All right. I don't have an estimate on that.
Operator: There are no further questions at this time, I'll turn it back to Linda for her closing remarks.
Linda Hasenfratz: Okay. Thank you. Want to conclude this evening, I'd like to leave you with three key messages. First, we are thrilled to deliver earnings almost double the level of last year, a great shout out to the success of our diversification strategy to allow us to deliver consistent, sustainable growth in earnings. Secondly, we're very excited about the investment in Welland for our state-of-the-art Giga castings structural component facility critical to the future of electrified vehicles. As the first supplier to invest in this equipment in North America, Linamar will naturally take a market leadership position in this technology. And finally, it's great to see continued gradual improvements in the supply chain labor and energy costs challenges that we've been experiencing for some time. Thanks very much, everybody, and have a great evening.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect.